Operator: Ladies and gentlemen, thank you for standing-by and welcome to the M/I Homes Fourth Quarter and Year End Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn today's conference over to Phil Creek. Please go ahead.
Phil Creek: Thank you very much. Joining me on the call today is Bob Schottenstein, our CEO and President; Tom Mason, EVP; Paul Rosen, President of our Mortgage Company; Ann Marie Hunker, VP, Corporate Controller and Kevin Hake, our Senior VP. First, to address regulation fair disclosure, we encourage you to ask any questions regarding issues that you consider material during this call, because we are prohibited from discussing significant non-public items with you directly. And as to forward-looking statements, I want to remind everyone that the cautionary language about forward-looking statements contained in today's press release also applies to any comments made during this call. Also, be advised that the company undertakes no obligation to update any forward-looking statements made during this call. I'll turn the call over to Bob.
Bob Schottenstein: Thanks, Phil and welcome, everyone. Welcome to our fourth quarter and full year 2015 conference call. We are very pleased with our strong performance in 2015, as we continue to make important and meaningful progress at a number of areas. Our pre-tax income for the year posted a significant 36% increase to $94.8 million. As noted in our release, the $94.8 million of income excluded the one-time charge we incurred in refinancing our senior notes. As Phil will discuss later in the call. We were very pleased, we've successfully completed the refinancing in December. Where we replaced our $230 million, 8.625% notes, which were due in 2018, with a new issuance of $300 million of 6.75% notes, which are due in 2021. Our 2015 results, included 40 basis points increase in our gross margins and 70 basis point production in our SG&A overhead expense ratio. As a result, we were able to improve our 2015 full year operating margins by more than 100 basis points. For the fourth quarter, closings increased 13% and revenues rose 27%. For the year, total revenues increased 17% and the number of homes closed increased 4% to 3,883 homes, which is our highest closing volume, since 2006. Given the challenges, we and many other builders faced in 2015 from labor shortages, particularly unusual weather delays, as well as delays in getting a number of our new communities open. We were very pleased with our 2015 closings. In terms of sales. Our new contracts were up 16% in the fourth quarter. For the year, we sold 493,000 homes which was 12% better than 2014. Our new contracts have now increased at annual compounded rate of 12% per year since 2008. And our revenues have grown at 13% compounded annual rate since 2008. We believe, these are very solid growth rates over the past 7 years. A 7-year period which represents the emergence from the housing recession. And these growth rates represent one of the highest in our industry over at that particular 7-year period. We ended the year with a backlog of $569 million, 34% higher than a year ago and our highest dollar backlog value, since 2005. Backlog units at year end were up 25%. During 2015, as planned and in line with previous guidance. We increased our community count by 17% ending the year with 175 active communities. We expect to continue growing our community count in 2016 and Phil will address this in more detail in his comments. Our financial services business also had a very strong year in 2015, with fourth quarter pre-tax income up by 70%. For the year, our financial services income totalled $19.4 million 37% higher than in 2014. Paul Rosen, the President of our Mortgage and Title Operations will talk more about this in a few minutes. I do however want to acknowledge and thank Paul and this team for running a very profitable and exceptionally well managed business, that compliments and enhances our core home building business and helps us more fully and effectively serve our home buyers. From a balance sheet standpoint, we ended 2015 with 22,000 lots under control, that's an 8% increase over 2014. Phil will detail the specifics of our lot position in his remarks. At this time however, I want to point out that premier locations that is, locations that were not just well located but well developed communities that are situated in desirable sub-markets and quality school districts is a core strategic goal of our company. We feel very good about the quantity and perhaps most important, the quality of our lot position. We ended 2015 with nearly $600 million of net worth and a healthy 50% net debt-to-capital ratio. And we have ample liquidity under our $400 million unsecured credit facility. Now I'll provide a little bit more detail about our regions and the housing markets within them. Beginning with the southern region, which consist of our two Florida markets Orlando and Tampa as well as our four Texas market Houston, San Antonio, Austin and the Dallas Fort Worth area. In the southern region, we have 483 deliveries during the fourth quarter. 1,447 for the year or 37% of total company volume. New contracts in the southern region increased 10% during the fourth quarter, and 17% for the full year. We are achieving very solid results in our two Florida markets. Tampa and Orlando sales were strong throughout the year and we expect both of these markets to continue to perform well for us in 2016. In our growing Texas operations Dallas and Austin both contributed significantly to deliveries compared with begin in relative start-up mode in those markets a year ago. For San Antonio was relatively flat year-over-year. We have seen pickup in sales in San Antonio recently. We continue to monitor market conditions in Houston. As has been well documented demand in Houston remain sluggish, whereas job growth is slow. The dollar value of our sales backlog in the southern region a year-end was up 31% from the beginning of the year. And we had 66 communities in the southern region at year-end, which represented a 32% increase from year ago. As to our Fort Texas division specifically, we have 38 communities at year-end versus 32, a year ago. All in all, we continue to be very excited about the growth opportunities we have throughout the southern region. Next is the Midwest region, which now consisted of Columbus, Cincinnati, Indianapolis, Chicago and our newest market Minneapolis, St. Paul. On December 1, we acquired the operation of top 10 Minneapolis builder known as Hans Hagen Homes. The Minneapolis operation will further enhance our geographic position and what we consider to be a very healthy and dynamic housing market. We are very pleased to be open and operating in the twin cities. In the Midwest region in 2015, we have 455 deliveries in the fourth quarter and 1,470 deliveries for the year. This represent a 3% increase from year ago and 37% of our total, the same percentages as we had in the southern region. New contracts in this region were up 35% for the quarter with noticeably strong sales in both Columbus and Cincinnati. Our sales backlog in the Midwest was up 48% from the start of the year at dollar value and our controlled lot position in the Midwest region increased 43% compared to last year. Both of those numbers are positively impact by the Minneapolis acquisition. We ended the year with 73 active communities in the Midwest which is 18% higher from a year ago. Chicago and Indianapolis both had very good years for us in 2015 and we are expecting goods things from all five Midwest markets in 2016. Demand in each remains good. Finally the Mid-Atlantic region, which consist of our operation in Washington DC, as well as our operations in Charlotte and Raleigh, North Carolina. New contracts in the Mid-Atlantic region were 4% for the fourth quarter compared with 2014. Backlog value was up 14% at year-end and we ended the year with 36 active communities down 5% from the start of the year. We delivered 315 homes in the Mid-Atlantic region during the fourth quarter. 14% increase from last year and delivered 1,019 homes in this region for the year. So the Mid-Atlantic region represents 26% of total deliveries. Our two Carolina markets Charlotte and Raleigh are worth noting as each had a very strong year for us, in terms of sales and deliveries. On the other hand, demand in the DC market remains a bit sluggish. Our total controlled lots in the Mid-Atlantic at year-end decreased 9% from last year. As I conclude my remarks, let me just a few more things about our business and our outlook for 2016. First, with our strong year-end backlog, the quality of our land position and the fact that we operate many of the best housing markets in the United States. We believe we are well positioned to continue growing and further improving our profitability in 2016. Finally, 2016 also promises to be a milestone year for M/I Homes. As we'll be celebrating our 40th year in business. We are really proud of our history and all that we have accomplished since our founding in 1976. As we go forward and begin our 40th year, we will continue to focus on those core values that are so materially contributed to our past success and that have allowed us to reach this day, and that is having a great team of dedicated people, who are committed to quality, who are committed to operating with integrity, and who are committed to delivering superior customer service to our customers. And with that, I'll turn it over to you Phil.
Phil Creek: Thanks, Bob. New contracts for the fourth quarter increased 16% to 897 and our traffic for the quarter was up 17% and our community count was also up 17%. Our new contracts were up 14% in October, up 20% in November, and up 14% in December. As to our buyer profile, 38% of our fourth quarter sales were the first time buyers, which was slashed compared to 2015 third quarter. And 51% of our fourth quarter sales were inventory homes compared to 49% in 2015's third quarter. Our active community were 175 at the end of 2015. The breakdown by region is 73 in Midwest, 66 in South and 36 in the Mid-Atlantic. During the quarter, we opened 20 new communities while closing 11. And for the year, we opened 62 new communities and closed 37. For 2016, our current estimate is that our average community count for the year should be up 5% to 10% over 2015 level. We delivered 1,253 homes in 2015's fourth quarter. Delivering 70% of our backlog compared to 71% a year ago. Revenue increased 27% into the fourth quarter compared to the same period last year primarily as a result of an increase in both average closing price and number of homes delivered. For the full year revenue increased 17%. Our average closing price for the fourth quarter $360,000, a 12% increase over last year's $322,000. And our backlog average sales price is $372,000 up 7% from a year ago. We recorded an impairment of $3.6 million in the fourth quarter, this relates to certain communities in our DC market. Our building cycle times for homes were slightly higher in 2015's fourth quarter than 2014's fourth quarter, and our construction and land development cost increased slightly, when compared to the fourth quarter of last year. Our gross margin was 20.2% for the quarter versus 20.0% a year ago. And for the full year of 2015, our gross margin was 21.2% up 40 basis points from prior year. Land gross profit exclusive of the impact in [ph] impairments was $1.1 million in 2015's fourth quarter and $7.4 million for the full year of 2015. This compares to $800,000 in 2014's fourth quarter and $3.6 million for the full year of 2014. Our fourth quarter SG&A expenses were 12.5% of revenue improving 120 basis points compared to 13.7% a year ago, this reflects greater leverage from higher closing revenue. For the year, our SG&A expense ratio improved 70 basis points to 33 [ph]. We continue to focus on improving our operating efficiencies. Interest expense increased to $1.8 million for the quarter compared to last year and increased $4.2 million for the 12 months of this year. This is due to higher borrowings offset impart by lower weighted average borrowing rate. We have $17 million in capitalized interest on our balance sheet compared to $15 million a year ago, about 1% of our total assets. With respect to income taxes during the quarter, we had a tax rate of 42%. Our rate during the quarter was unfavorably impacted by changes in state of portion [ph] mix, which reduced the value of our state NOL carry forward. Excluding this adjustment, our effective rate for the quarter 38% and we estimate a 39% tax rate for 2016. Earnings per diluted share for the quarter were $0.43 a share. This per share amount reflects $1.2 million of dividends paid to our preferred shareholders and our debt charge. Now Paul Rosen will address our mortgage company results.
Paul Rosen: Thanks, Phil. Our mortgage and title operations pre-tax income increased from $3 million in 2014's fourth quarter to $5.1 million in the same period of 2015. Our fourth quarter results include an increase to loans originated from 771 to 906, an increase in average loan amount. Additionally, we were well positioned through the year end to aggressively market our loans during the chaotic regulatory environment. As resulted in higher margins on loans sold. The loan-to-value on our first mortgages for the fourth quarter was 83% in 2015, compared to 86% in 2014's fourth quarter. 74% of the loans closed were conventional, and 26% were FHA, VA. This compares to 73% and 27% respectively for 2014 same period. Overall, our average mortgage amount increased to 11% and $299,000 in 2015's fourth quarter, compared to $269,000 in 2014's fourth quarter. The average borrower credit score on mortgages originated by M/I Financial was 738 in the fourth quarter of 2015 compared to 736 in 2015's third quarter. Our mortgage operation captured 82% of our business in the fourth quarter compared to 2014's, 80%. Due to the high volume of fourth quarter closings. We temporarily increased our warehouse facilities to $150 million through February 1, 2016. At December 31, 2015 we had $105 million outstanding under the M/I F credit agreement, which is a $110 million commitment that expires June 24, 2016. And $19 million outstanding under a separate repo facility, which expires November 1, 2016. Both facilities are typical 364-day mortgage warehouse facilities that we extend annually. Now I will turn the call back to Phil.
Phil Creek: Thanks, Paul. As far as the balance sheet, we continue to manage our balance sheet carefully focusing on investing carefully in new communities, while also managing our capital structure. Total home building inventory at 12/31/15 was $1.1 billion, an increase of $193 million above December 31, 2014 levels. This increase is primarily due to higher investment in our backlog, higher community count and more finished lots. Our land investment at 12/31/15 is $597 million, a 27% increase compared to $470 million a year ago. At December 31 we had $257 million of raw land and land under development and $340 million of finished unsold lots. We own 4,559 unsold finished lots, with an average cost of 75,000 per lot, and this average lot cost is 20% of our 372,000 backlog average sale price. The market breakdown of our $597 million of unsold land is $184 million in the Midwest, $227 million in the South and $186 million in the Mid-Atlantic. Lots owned and controlled as of 12/31/15 totaled 22,422 lots, 51% of which are owned and 49% under contract. We own 11,399 lots, of which 34% are in the Midwest, 41% in the South and 25% in the Mid-Atlantic. During 2015's fourth quarter, we spent $55 million on land purchases and $60 million on land development, for a total of $115 million. And for 2015, we spent $438 million on land purchases and land development. About 50% of the purchase amount was raw land. Our estimate today for 2016 land purchase and development spending is total of $425 million to $475 million. At the end of the quarter, we had 483 completed inventory homes, which are three per community. And 872 total inventory homes. And of the total inventory homes, 270 are in the Midwest, 409 are in the Southern region and 193's in the Mid-Atlantic. At 12/30/14, we had 460 completed inventory homes and 979 total inventory homes. Our financial condition continues to be strong, with $597 million in equity and net debt to cap ratio of 50%. And at 12/31/15, there was $44 million outstanding under our $400 million unsecured revolving credit facility. This completes our presentation. We'll now open the call for any questions or comments.
Operator: [Operator Instructions] Your first question comes from the line of Michael Rehaut of JPMorgan
Jason Marcus: It's actually Jason in for Mike. So in terms of your backlog conversion, it was pretty strong for the quarter. I wanted to see, if you can talk a little bit about, the labor environment that you're seeing. It looks like you weren't as impacted by some of the delays that you saw, over the last few quarters. And I guess more broadly, if you could talk about labor cost and if that was the main driver of the sequential gross margin decline or say some other factors that you're going to.
Bob Schottenstein: It's Bob Schottenstein, I'll take the first part of that question and then I'll let somebody else here answer the second part. I think that the labor issues probably stabilized for us throughout the year. It was a bit of a challenge during the first quarter. Slightly, less of a challenge during the second. We sort of got used to in the third and then, I think we were beginning to do a better job managing it, by the fourth. So, every market is little bit different. But I think that and I think the other thing is. I think we were successful in closing a few more spec homes in the fourth quarter than in quarters in particular may be two and three. And so, I think it was the aggregate of those things. As far as pricing and margins, Phil, maybe you want to talk about that.
Phil Creek: Yes, I guess, I should - little more information, it looks like our cost were up about 2% to 3% last year. Labor issues continued to be a challenge. And every market needs to be a little bit different from a margin standpoint. We were very pleased, there are fourth quarter margins were above a year ago. Our full year margins were above a year ago. I think, we did a pretty good job managing pricing in pace. So overall, we felt pretty good about our margins in 2015.
Jason Marcus: Okay, then just moving onto sales pace. You had improvements in the Midwest, in Mid-Atlantic. But in the southern region, it looks like you had a 13% decline in sales pace. So wanted to see, if you could give a little bit more color on what the driver of that was.
Bob Schottenstein: I think, part of which impacted by the slowdown in sales, that we experienced in Houston, where not many communities met their pace or absorption objectives. I think, I mentioned in my comments that we had particularly strong years in Tampa and Orlando, and we did. And, San Antonio was a little sluggish. So I think, there were some puts and takes. And the takes, may have exceeded the puts slightly. Phil, I don't know if you or Paul or anyone else want to comment on that?
Phil Creek: No, I think that. It was a little slower in some of our Texas markets and Florida was a very strong the year before or so.
Jason Marcus: Okay and then lastly, given where you stock is trading and the discounted book value. Just wanted to get your thoughts around potential share repurchases and if that's what you're considering, you haven't done in a while.
Bob Schottenstein: No, that's true. We haven't done in a while and this is probably the same way, we answer. I was trying to go back and see how we answered it, the last time it was asked because we felt the same way then than we do now. And that is, that something we always look at, you always discuss and you hopefully are thoughtful, about it. I think, we are - not just with ourselves but certainly with our board. Right, and I share your view of the stock price in terms of where it's trading below book value and in our judgment is no way near, any kind of reflection of our performance. The fact is, is that we feel that the best use of our capital is where it's headed now, which is back into our markets. Which growing income 36% year-over-year excluding the one-time debt charge. What we see in terms of the conditions of the field today. Our outlook for this year, even though we provide no guidance. We do expect to continue growing not just in terms of top line, but bottom line and improving margins and returns and when you, take all that into account. That's right now, we have no plans to buy back any shares. Kevin is that, you're looking at me noddingly. I assume that, that's why you see this well.
Kevin Hake: Yes, remember you always, like you said, we always look at it and continue to consider potential use of some amount of cash. But right now we'd agree, that there's no opportunities.
Jason Marcus: All right, thanks.
Operator: Your next question comes from the line of Alan Ratner, Zelman & Associates.
Alan Ratner: Congratulations on all the progress and we agree that the performance is certainly very strong and the growth is impressive. About - you guys made an acquisition during the quarter, you haven't been too acquisitive in the past, although you have bought a couple of companies to enter new market. So I was curious, just given what's going on in the capital markets. Whether you think there's going to be more opportunities for M&A and if so, are there specific markets that you're targeting for growth or are you really just looking to grow organically, at this point.
Bob Schottenstein: I think both, we want to always keep one eye very closely on our balance sheet. Our debt levels are, our debt-to-cap ratio is around 50% and that's about as high as we like to see it go, just in terms of the way we want to manage the ship. But, we believe that, but the good news is, we do not need to open up any new markets to achieve our current and multi-year growth goals. But the fact is, there are other markets that we continue to look at. And the possibility that we might open up an another market or two over the next 12 months to 18 months. I think, as it's at least worth nothing. Whether it happens or not, will depend upon finding not just the right market, but the right leader to help us, run that operation. Whether it would be a pure start-up or a combined or consistent of something like we did in Minneapolis, where we bought a relatively small builder, but still a builder these units we're doing 125 units. Hans Hagen was doing around 125 units to 140 units, a year. Which in rank them, I think 10th in the Minneapolis, St. Paul market. So they were technically a top 10 builder. Acquisition of that size, is possible if you can find the right one, the right way in position and so forth. But, back to the answer. We don't need to open up any new markets to achieve our growth goals. We believe, we have meaningful organic growth. Maybe not in all, but certainly in almost or most of our, almost on most of our markets. And but we're looking.
Alan Ratner: Great, that's very helpful. And if I can ask a second separate questions. I mean, you guys entered Texas over the downturn and interest, maybe some concerns now, that you entered a little bit on the later side, especially given what's going on in Houston. So I was hoping, you could just give us an update on what percentage of your inventory actually is in Houston today, maybe in dollar terms, any comments on the margins you're achieving there currently because I think there's some concern that pricing could come under pressure and trigger some impairments. I don't think, you've taken any to-date, but any kind of sensitivity you can give you around, that would be really helpful.
Bob Schottenstein: Well let me just say a couple things first. We entered five new markets between 2008 and Dallas was I think, 2013. Chicago plus the four Texas markets. And in hindsight, there is not one, there is not part of that feels anything but they were all the right decisions. We feel really good about having done that. And we do not feel, I mean Houston is what it is. When you're in 14 markets, there is always going to be something, someplace, somewhere. And I haven't seen too many instances, where there hasn't been the case. It's just sort of the reality of life. So we feel really good about our operation in Austin. The Dallas is off to a very good start as I indicated, while things were relative - were sort of sluggish in San Antonio. We're seeing improving conditions there and in terms of asset deployment and intensity, we feel okay about Houston. Phil, you want to add something to that?
Phil Creek: Yes, as far as Alan in total, we have 175 active communities here. And as we said, 38 of those communities are in Texas, there was 32 of them at the end of 2014. So again, as of the end of 2015, 38 of 175 communities are in Texas and the breakdown of the four divisions. I mean, there is a few less and Dallas because it's more of a start-up, that type thing but it's kind of evenly spread. As far as investment level and risk or whatever. We feel really pretty good about our land position, our investment level. We did take $3.5 million impairment that was in DC. As Bob talked about, we talked about the last couple of calls. Demand has been little bit weak there and I think a lot of other builders share that. As far as investment levels. We talked about, $597 million of unsold land on our books at 12/31/15 and off that $597 million of unsold land, $227 million is in the south region that includes the four Texas divisions and also the two Florida divisions. But overall, we feel we're like in a good shape. Have we invested as much in Houston and DC, some of those markets that have been little slow and down, we know we're always mindful of the market conditions and so forth, as we make investments, but we feel really pretty good about investment level, our spec levels, our land position, we feel like we're in pretty good shape.
Alan Ratner: Okay, I appreciate that and I guess just, if I could ask, a little bit differently then. So would you just say or summarize it, your Texas markets and Houston specifically your land strategies pretty comparable to the company average in terms of year's supply, finished lot, raw law split-in, in other words, just not unique not option more land there or more quick return deals, that's pretty consistent with the rest of the portfolio.
Phil Creek: It's very consistent with the other divisions.
Alan Ratner: Okay, thanks a lot guys. Good luck.
Operator: Your next question comes from the line of Alex Barron, Housing Research Center.
Alex Barron: I wanted to ask, regarding Houston, what is your outlook for starts for this year? Do you expect it to be flattish or down some percents? So that's my first question.
Phil Creek: I think overall, our view is that markets in general will be a little better this year as far as Texas. We're probably more, that things are probably are going to be a little more challenging. With things going on there, so we're little more conservative.
Bob Schottenstein: Not necessarily all of Texas, but Houston. Your question was specific to Houston, are you asking from a macro standpoint, what do we see happening there?
Alex Barron: Yes, not necessarily [indiscernible], but just what your take off is on the overall macro for this year, in terms of starts year-over-year.
Bob Schottenstein: I think it's pretty consistent with what we're seeing for most of the forecast. And that is, it's still a very large market. But there's pressures, there's negative pressures. The job growth is slow and I think that case starts will be flat. The starts will be probably off slightly. We're in markets now, we're starts are up 4%, 5% and our business was up 15%. It’s so location price product and community-driven at the same time. So I appreciate the question, but I have to provide the fact that individual performance can radically be different. And Chicago is one of our best operations and it is not ready to, it's very good market.
Alex Barron: Right, my other question I guess was regarding the Mid-Atlantic, where you guys said you had an impairment what kind of land deal was that, was that a development deal or finished lots and I guess, what kind of triggered that, was it some competitor acting or why is that happening?
Phil Creek: It was a couple of communities, Alex. It was one community that we developed. There was also, some developed lots and it's really being driven more by kind of weakness in the market there in the last year. So and us basically are writing down some assets to what we think the market value is, to move - to build through the pipeline. We think, we have one of the cleanest balance sheets in the business. We don't really anything mothballed or hail [ph] type thing. We continue to work through our assets. Really it's more market-driven and we thought it was a good decision to deal with that now.
Alex Barron: Okay and then if I could ask, one last one on the acquisition, you guys did in Minnesota. How many homes, did that builder do last year? Just to have some idea of the size of their operation.
Bob Schottenstein: I mentioned it earlier, I think around 125. In 2014, they did 125 homes. We acquired them in the fourth quarter of 2015.
Alex Barron: Okay, great. Thanks.
Operator: Your next question comes from the line of Michael Rehaut of JPMorgan.
Bob Schottenstein: I think, he already asked his question.
Operator: Michael, your line is open. And we'll proceed to the next question. It comes from the line of Lee Brading of Wells Fargo.
Melissa Zayas: This is actually Melissa Zayas on for Lee. I wanted to, I guess from - that last question on the impairment and given you've been talking about sluggishness in the DC market for a while. Do you foresee any sort of additional impairments and communities in that market or was it like, this sort of address that?
Phil Creek: Those kind of things are always hard to predict based on market conditions and competition and so forth. We think that, we're a very much dealt with the issues, that we felt we needed to. Again, we tend to work through assets as oppose to, some of those type things. But we felt like, we dealt with everything we needed to right now.
Melissa Zayas: Okay, got it. Thanks. And then, on liquidity front. You paid down a good amount of your revolver this past quarter with cash and maybe some higher yield proceeds. I think in the past, you guys have mentioned something about being comfortable with peak usage and the 150 to 200-ish range. And I was wondering what your thoughts are for 2016 in terms of, do you think you'll repeat that type of revolver fundings to fund 2016 growth?
Kevin Hake: We haven't given any guidance yet at this point yet for our peak usage. This year, 2016. It's Kevin. And I expect, we will be - we do have our, serve our budgets rolled up in our planning that we will give some something probably when we put out our 10-K, but at this point we haven't given necessarily a peak amount. We certainly wouldn't expect it to be any higher than I think, where we peaked last year. We did get in the range of 79 of proceeds excess from the refinancing of our senior notes. So we're growing the business, but I think it will be something less than what we peaked last year.
Melissa Zayas: Got it, thanks. That's all from me.
Operator: [Operator Instructions] and at this time, there are no further questions. I would now like to turn the floor back over to management for any closing remarks.
Bob Schottenstein: Thank you very much for joining us.